Operator: Welcome to News Corp's Third Quarter Fiscal 2024 Earnings Conference Call. Today's conference is being recorded. Media will be allowed on a listen-only basis. At this time, I would like to turn the conference over to Michael Florin, Senior Vice President and Head of Investor Relations. Please go ahead.
Michael Florin: Thank you very much, operator. Hello everyone, and welcome to News Corp's fiscal third quarter 2024 earnings call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We will open with some prepared remarks and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements, such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in the earnings release for the applicable periods posted on our website. With that, I'll pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you Mike. News Corp has again made substantial progress on our strategic imperative to transform the company and increase value for all shareholders. Our profitability rose slightly in the third quarter, as compared to the prior year, continuing our growth this fiscal year, and that increase follows the three most profitable years since the company was reincarnated in 2013. That improvement, which gathered pace in April came despite certain macroeconomic circumstances that were far from auspicious whether a strong dollar that devalued our revenues outside the U.S. particularly in Australia or the punitively high mortgage rates that obviously undermined activity in the U.S. housing market. The U.S. housing market contrasts starkly with that of Australia, where strong performance underpinned robust revenue growth at Digital Real Estate Services. While at Dow Jones, the professional information business continued to prosper and the segment's profit margin expanded from 20.6% to 21.7%. We remain well on track for the full year of strong results at News Corp. It is by the way worth highlighting that our free cash flow in the first three quarters was $491 million, a 53% increase on the $320 million for the same period last year. It is also worth noting that for more than a year, digital revenue has accounted for over half of our total revenues and we believe that trend is destined to continue. We are in the midst of an exponential digital revolution and our own company has continued to change significantly and profitably. Importantly, we are working to promote our quality journalism in the age of generative AI and are gratified that the most enlightened leaders in the industry appreciate the commercial and social value of that content. Separately to that end, we have this week extended our existing partnership with Google. As mentioned previously, we have been reviewing our company's structure, and that work is intense and ongoing, and we have made underlying changes to provide maximum flexibility. Through three quarters of fiscal 2024, circulation and subscriptions accounted for 45% of revenues, with advertising at a modest 16%. 10 years ago we were dependent on advertising for almost half our revenues. Most tellingly, advertising at News Media then our largest source of revenue now accounts for only 8% of total revenue. I should repeat that number 8%, and half of that figure is now digital advertising. So the character of the company has fundamentally changed. Dow Jones continue to increase both revenue and profitability this quarter. The professional information business at Dow Jones is an increasingly powerful earnings engine, with yet another quarter of double-digit revenue growth. It remains on track to be the largest contributor to the segment's profitability by the end of this fiscal year and we believe far into the future given its high margins and 90-plus percent retention rate. Dow Jones Energy where revenues rose 15% has just launched the APAC Carbon Market Report, which provides data and insights into emissions trading in Australia, China, New Zealand and South Korea. This important new offering complements OPIS's carbon price coverage for North America and other international markets. At risk and compliance, where revenues also rose 15%, the team debuted its first Gen AI-powered product, Integrity Check, a fully automated research platform that rapidly produces due diligence reports on businesses and individuals from our unique database. Created in partnership with SAPIEN, Integrity Check will help companies ensure they are compliant in a fiendishly complicated and legally fraught regulatory environment. Digital subscriptions at Dow Jones increased 17% year-over-year, and experienced their highest sequential quarterly net growth, with 322,000 added in the third quarter. Average daily digital subscriptions to Dow Jones brands, including the Wall Street Journal, Barron's, MarketWatch, Investor's Business Daily, crossed 5 million for the first time during Q3. That total is approximately double the number 4 years ago. Given the access to a bundle of premium products with the Wall Street Journal at the heart, the Dow Jones team is confident we should see a reduction in churn and an increase in circulation revenues in quarters to come. As for advertising, the market for print remains somewhat soft, though digital advertising rose 4% compared to the prior year, and advertising trends overall improved on the preceding quarter. In digital real estate, REA continued to show robust growth, with revenues surging 15% year-over-year. A 6% increase in listings across Australia helped spur that success, and I should note that listing growth has again improved in April compared to March, which we believe augurs well for the fourth quarter. REA also remains by far the number one digital real estate platform in Australia, with 4.1x more monthly visits on average than its nearest competitor. That strength and enhanced product mix for its customers enabled REA to introduce 10% average price increases. That new pricing schedule will apply from July, and we look forward to the benefits in the next fiscal year. Meanwhile, we are pleased with the continuing progress at REA India, with a 31% advance in revenues in the quarter. Our site, housing.com, is the leading digital real estate platform in the most populous country in the world. Given that country's economic growth, widely forecast to be around 7% this year, and the prospect of ongoing political continuity, we are confident that we have a world-class asset with much potential for expansion. At Move, we are obviously subject to the abnormal aberrant conditions in a US housing market buffeted by high interest rates. However, revenue declines moderated this quarter, and lead volume has turned positive for the first time in 2 years. The results this quarter are broadly consistent with our expectations, and we are improving the product and user experience to position ourselves to take advantage when the market trends change from headwind to tailwind. In the wake of legal developments involving the National Association of Realtors, I would echo move CEO, Damian Eales 's recent perspicacious comments about the importance of buy-side agents for those seeking professional guidance when purchasing a home, which is surely the most significant investment decision for many families. We continue to closely monitor industry developments, but believe realtor.com is well-positioned to capitalize on its relationship with home buyers and with buy- and sell-side agents in this evolving landscape. We expect that interest rates will ultimately ease, and our experience in Australia suggests that the market will surge dramatically after an extended period of suppressed activity. It is worth noting our landmark rental agreement between realtor.com and Zillow. This deal upgrades the rental experience for consumers and allows landlords and property managers to benefit from the combined audience of both the realtor.com and Zillow platforms. There is also a clear financial benefit for realtor.com, which will allow us to focus on our core buy- and sell-side offerings. Finally, I would point out that in March, according to Comscore, a verified third-party source, realtor's unique users grew 5% month over month, comparing very favorably to homes.com, which experienced a decline in the same period. Moreover, realtor.com is 1.4x bigger in terms of monthly unique users and has approximately 3x the page views and minutes per visit. Independent verification ensures statistical sumptuous, not metrics mumsmus. Our media platforms from the Wall Street Journal to the New York Post and MarketWatch and Bible Gateway give us a distinct advantage in expanding reach and building brands. Speaking of Bible Gateway, at HarperCollins, while revenues for the quarter were slightly behind the record Q3 results in the prior year, segment EBITDA rose 2%. And for the year-to-date period, EBITDA was 40% higher. In April, we saw a stronger performance and hope that will continue for the fourth quarter. We continue to believe the audio book market holds much promise, especially given our unique partnership with Spotify, which has already broadened the book audience. We hope to benefit from Spotify's recent expansion of its audio offerings to Canada, Ireland and New Zealand. And by the way fueled by the growth of audio books, HarperCollins digital revenues hit 25% of total consumer revenues in Q3. We believe there is little doubt that the audio segment will continue its expedition expansion. Bestsellers in Q3 included Shelby Van Pelt's novel Remarkably Bright Creatures. While Savannah Guthrie's, Mostly What God Does continues to thrive as does Peter Schweizer's Blood Money, and Fangirl Down by Tessa Bailey. Pope Francis' memoir, Life: My Story Through History, which we publish in eight languages is selling well and will surely have an enduring people presence in libraries. We anticipate a strong performance in Q4 with Lucy Foley's, The Midnight Feast; The War on Warriors by Pete Hegseth; and Day Trading Attention by Gary Vaynerchuk. At Subscription Video Services, the Hubbl streaming aggregation product launched in March and we are working with our partners at Comcast to shepherd its adoption throughout Australia. The intent is to reduce churn by increasing engagement and improving the customer experience. Excluding ForEx fluctuations, adjusted segment EBITDA overall improved by 1% in the segment. Kayo is benefiting from the impact of a fascinating season of both Aussie Rules Football and Rugby League and had its highest sequential quarterly net additions since inception, powered by both new customer growth and reactivations. We anticipate that recent price increases at Kayo and expected strong subscriber growth will continue to benefit the bottom line as both leading sports codes are drawing record audiences. Foxtel continued to grow its streaming revenues in Q3, which now account for 29% of circulation and subscription revenues up from 26% last year, which is helping to drive overall margins, which rose from 14.3% to 14.5%. In News Media, our brands continue to increase their digital penetration across the globe and we were vigilant on costs, which were 5% lower than a year earlier. We anticipate further significant savings as a result of our transition of TalkTV to focus on streaming and original video content for our established British brands. And we also expect tangible cost benefits following the regulatory approval for the joint printing agreement between News UK and the Daily Mail Group. The Times of London will expand digitally and gradually into the US during Q4 inspired by the success of the US Sun in reaching new audiences and enhancing digital revenues. Much journalism is unfortunately Jaundice [ph], but our imperative is for reporters to have the objective of being objective and for our economists to have the objective of being subjective. As of the end of March, The Times and Sunday Times closing digital subscribers including The Times literary supplement were at 582,000, up 5% year-over-year. Meanwhile digital subscribers at News Corp Australia as of the end of March were over 1.1 million, up 7% compared to the prior year. In the first three quarters of fiscal year 2024, News Corp delivered strong profit growth and we fervently believe that the company is firmly on a pathway to continued success. Our trusted premium intellectual property resonates in an era of polarization and amidst a rising tide of AI field falsehoods and fuss. For us, AI stands for authentic and authenticated intelligence, not artificial intelligence or the artifice of intelligence. As always, we remain sincerely grateful for the astute leadership of Lachlan and Rupert Murdoch and for the sage support of our Board, investors and customers, and for the sterling efforts of all of our employees. One final note. For more than a year, our colleague Evan Gershkovich has been falsely and cruelly imprisoned in Moscow. In public and not so public ways, we are actively seeking his release. We deeply appreciate those who have assisted the cause and we sincerely look forward to his emancipation. I now turn to Susan Panuccio for additional details of our performance in Q3.
Susan Panuccio: Thank you, Robert, and good afternoon to everyone. As Robert highlighted, we remain focused on the execution of our strategy to transform News Corp with an increased mix of recurring and digital revenues as we continue to expand our information services businesses. This has been balanced with reinvestment in key growth initiatives and cost efficiencies as we navigate ongoing inflationary pressures in our markets. Our third quarter total revenues were over $2.4 billion, down 1% compared to the prior year, while adjusted revenues were flat compared to the prior year. Total segment EBITDA was $322 million for the quarter, up 1% compared to the prior year on a reported and adjusted basis and ranked as the second most profitable Q3 since the company's separation in 2013. For the quarter, we reported earnings per share of $0.05 compared to $0.09 in the prior year. Adjusted earnings per share were $0.11 in the quarter compared to $0.09 in the prior year. Moving on to the results of the individual segments, starting with Digital Real Estate Services. Segment revenues were $388 million, up 7% versus the prior year and up 9% on an adjusted basis. Segment EBITDA was $104 million, up 2% as higher profit contribution from the REA Group was partly offset by lower revenues and approximately $11 million of higher costs at Move. Adjusted segment EBITDA grew 7%. REA had another very strong quarter with revenues rising 15% year-on-year on a reported basis to $256 million and up 20% in constant currency. Growth was again driven by a combination of residential yield increases and improved growth in national listings, favorable geographic mix and customer contract upgrades. New buyer listings rose approximately 6% with Sydney up 20% and Melbourne up 18% despite an early Easter which negatively impacted March volumes. Please refer to REA's earnings release and their conference call for more details. Move's revenues of $132 million were down 6% compared to the prior year with declines continuing to moderate from recent quarters. For the quarter, real estate revenues fell 5% driven by lower referral and lead gen revenues, reflective of the broader industry trends and lower transaction volumes. We saw an improvement in lead volumes for the first time in over two years growing 4% year-over-year, benefiting from product enhancements and some stabilization in the housing market. Average monthly unique users for the quarter were flat versus the prior year at 72 million, but improving 9% from the second quarter. As Robert mentioned,.we announced a rentals partnership with Zillow to syndicate large multifamily rental listings which went live May 1. The agreement financially beneficial allows us to materially expand and improve our rental content offerings and to reallocate investment to marketing and our core buy and sell-side offerings. As we communicated last quarter, we are focused on best positioning realtor.com for a housing recovery and as a result are increasing the rate of reinvestment in the second half of fiscal 2024. To reiterate, some of the key strategic focuses include modernizing the technology stack, ensuring we have the best content for our product offerings and leveraging News Corp's network to drive audience share. Damian has been very focal about the ongoing benefits of buyer agents. And while we will closely monitor the impact of the proposed NAR settlement, we continue to believe in the long-term opportunity for realtor.com and have not altered our strategic direction which already includes diversifying revenues and expanding our seller offerings which continue to scale. Turning to the Subscription Video Services segment. Revenues for the quarter were $455 million, down 5% compared to the prior year. On an adjusted basis, revenues were down 1% versus the prior year. Streaming revenues accounted for over 29% of circulation and subscription revenues versus 26% in the prior year. Total closing paid subscribers across the Foxtel Group were over 4.5 million at quarter end, down 1% from the prior year, but up 5% versus the second quarter as Foxtel transitions into the winter sports season. Total paid streaming subscribers were nearly 3.1 million, increasing 3% versus the prior year, benefiting from a strong start to the AFL and NRL seasons. Kayo added 269,000 paying subscribers this quarter, the highest sequential quarterly net addition since its launch in fiscal 2019, which is consistent with recent trends of customers returning post summer. Foxtel ended the quarter with over 1.2 million residential broadcast subscribers down 9% year-over-year. Broadcast churn was 13.3% versus 12.3% in the prior year, while broadcast ARPU rose 2% to AUD 85 benefiting modestly from new pricing and packaging plans implemented in March. Segment EBITDA in the quarter of $66 million was down only 3% versus the prior year despite the inclusion of $13 million of costs related to Hubbl, which launched in early March and a 4% negative impact from foreign currency fluctuations. Adjusted segment EBITDA increased 1%. Moving on to Dow Jones. Third quarter results were again strong at Dow Jones with revenues of $544 million, up 3% year-over-year with digital revenue accounting for 81% of total revenues this quarter, up 2 percentage points from last year. Circulation and subscription-based revenues represented 82% of total revenues, again reinforcing the stability and recurring nature of the revenue base. We saw strong growth at PIB, with revenues rising 10% year-over-year including a 15% growth at Risk and Compliance to $76 million and 15% growth at DJ Energy to $63 million. Total PIB retention rates remained strong at over 90%. Across the B2B portfolio this quarter over two-thirds of the growth is coming from new customers, new products or upsells with the balance coming from annual price increases. At Dow Jones Energy, the mix between pricing and volume is more balanced this year due to the benefit of a pricing review, which led to above-average increases. Within the Dow Jones Consumer business, circulation revenues were flat versus the prior year, with digital-only subscription growth accelerating from the Q2 rate to 17% year-over-year and higher by 322,000 subscriptions sequentially helped by increased penetration of the Dow Jones bundling offer as they look to better leverage subscription acquisition costs across multiple products, capitalize on minimal overlap between products and drive greater engagement. Bundling accounted for approximately 45% of the incremental digital-only volume growth in Q3 and now represents about 14% of total subscriptions. We have taken price rises this quarter increasing monthly rates by nearly 20% to a cohort of tenured print subscribers. Advertising revenues declined 2% to $86 million with year-over-year declines moderating slightly from the first half with digital improving up 4%, driven by a rebound in technology spend. wsj.com grew 12%, underscoring the strength of the platform and its valuable audience. Print advertising declined 11% due to weakness in the financial sector. Digital represented 63% of advertising revenues, up from 59% last year. Dow Jones segment EBITDA for the quarter grew 8% to $118 million and was again the largest segment EBITDA contributor across the company. Margins improved year-over-year by 110 basis points to 21.7%, driven by the strong B2B performance, which remains on track to be the largest contributor to Dow Jones profitability in fiscal 2024. Costs as expected rose modestly, partly due to the phasing of sales and marketing expenses as we mentioned last quarter. At Book Publishing strong growth in our Christian business was not enough to offset some softness in our road map general books and children's divisions. Consumer softness and headwinds in the mass merchandiser accounts such as Costco and Walmart were greater than we expected in March. Revenues were $506 million, down 2% but that compares with a record third quarter last year, while segment EBITDA improved 2% to $62 million compared to the prior year largely due to the easing of supply chain pressures and the cost efficiencies, driven by the HarperCollins team over the past 12 months. Margin improved slightly to over 12%. We continue to see improvements in supply chain-related costs, with freight distribution and manufacturing costs all down versus the prior year. Return rates again improved compared to last year while inventory levels appear to have normalized across our distribution network. The backlist contributed 63% of consumer revenues, up from 60% last year, while digital sales rose 5% this quarter reaching 25% of consumer sales. Downloadable audio rose mid-teens helped by the recent Spotify partnership. Turning to News Media, performance continued to be challenged in the quarter with print advertising declines returning to more historic levels. Revenues were $530 million, down 6% versus the prior year while adjusted revenues also declined 6%. Circulation and subscription revenues were flat and down 1% in constant currency as cover price increases and digital subscriber growth were offset by lower print volumes. Advertising remained challenging, down 13% both on a reported basis and in local currency, with print advertising trends notably weak across all markets. As our News Media businesses face ongoing print challenges they continue to work hard on their transition to digital and ongoing cost efficiencies. Segment EBITDA of $26 million declined $8 million, which was due to the lower revenue partly offset by lower print volume and newsprint expenses. Adjusted segment EBITDA declined 26%. As for the outlook, similar to our comments last quarter, it is challenging to forecast in the short-term albeit economic indicators vary across markets. Looking at each of our segments, at Digital Real Estate Services, Australian residential new buy listings for April grew 32% due to the timing of Easter, as well as easier comparisons to the prior year. Please refer to REA for a more specific outlook commentary. At Move, we hope to see continued moderation in revenue declines. Like the third quarter, we expect continued reinvestment in marketing and product development, which will be partially offset by cost reductions elsewhere and the new rental agreement with Zillow. In Subscription Video Services, consistent with our message last quarter, we continue to expect modestly higher expenses for the full year and some softness in streaming revenues due to the first half, which may impact full year profitability in local currency. At Dow Jones, while we continue to expect strong revenue and profitability performance for the full year, underpinned by our B2B offerings, we expect modestly higher overall expenses for the fourth quarter and full year. At Book Publishing, overall industry revenue trends appear relatively stable, albeit third quarter was a bit softer than the first half for physical sales, but we are encouraged by the strength in downloadable audio. We continue to expect margins to improve versus the prior year and expect strong performance in Q4, partly due to the prior year comparison. At News Media, advertising revenue trends remain challenging, particularly in Australia, and we will continue to focus on ongoing cost efficiencies in our digital product offerings. For the other segment, we expect costs for the fourth quarter to be in line with the previous three quarters. We now expect CapEx to be relatively stable to last year, slightly lower than our initial expectations. With that, let me hand it over to the operator for Q&A.
Operator: Thank you. We will now start the question-and-answer session. [Operator Instructions] Our first question comes from Entcho Raykovski from Evans & Partners. Please un-mute yourself to ask the question.
Entcho Raykovski: Hi, Robert. Hi, Susan. So my question is around the Move investment, which you've made during the quarter and you flagged is ongoing. It sounds like it's both marketing and product development. Are you able to confirm that? And how much is going into marketing? How much is going to product development? And on the product development side, are you specifically targeting the sell-side agents with that spend given the NIR settlements? If you can provide some more detail around the sort of products you're investing in? And just more broadly, how do you think that settlement is going to impact the business model going forward? Thank you.
Robert Thomson: Entcho, look, obviously, I don't intend to comment on specific legal cases. And the US real estate industry is clearly in transition. But there's no doubt that realtors have a crucial role in the purchasing process, and we are proud to serve them. As for realtor.com, our experience in Australia and our complementary media platforms and US position us perfectly to take advantage of that tradition, where transition. We are very focused in the interim of on making sure that the back end is solid, that the user interface is great and that our customers get value for money. We are very focused on buy-sell, hence our partnership deal with Zillow on rentals, which will be beneficial to both companies. And the imperative, really, is to focus on the world's largest property market, which is still relatively early in its digital evolution. And we have the media assets and now, from our global experience, to make the most of that moment.
Susan Panuccio: And Entcho, maybe just to add on that, too, I mean the spend itself is probably broadly focused roughly evenly across both categories. But I think the thing to remember is in relation to the back half of last year, we pulled back significantly on the marketing spend, particularly in Q3 and a little bit in Q4. So the prior year compares will look more challenging in relation to marketing spend. But to think about it more broadly, it's focused on both areas, product and marketing.
Michael Florin: Thank you, Entcho. We will take our next question.
Operator: Our next question comes from David Karnovsky from JPMorgan. Please unmute yourself to ask your question.
David Karnovsky: Thank you. Maybe on Book Publishing. I wanted to see if you could speak a little more broadly to what you're seeing in terms of demand trends right now. You mentioned some softness at big box retailers. And then with Spotify, what potential tailwind do you see for streaming and widening kind of the overall market for audio books? And can you say if you've seen any incremental interest from other DSPs to carry HarperCollins content?
Robert Thomson: Well, as for HarperCollins, we are all bookish to a certain degree and purchases ebb and flow like the pilot books on the bedside table. Early last quarter, sales were strong, and then there was clearly a slight pause in purchasing. But what I can say is that we have seen a return to strong year-on-year performance in April and have a compelling roster of new releases. And even in Q3, we saw an improvement in margin from 11.8% last year to 12.3% this year. We're certainly benefiting from the international expansion of audio books as you mentioned and the efforts of Spotify who have transformed audio book streaming revenue, which rose 14% in the third quarter. So, we're proud to partner with Daniel Ek and his talented team as they roll out streaming globally.
Susan Panuccio: And David maybe just to complement that a little bit. It's not like a perfect comparison. The Book Scan data when we have a look at it for Q3 showed consumption down 3%. So, that gives you an indication that the market was a little bit softer for Q3. But going into Q4 we did have a particularly weak Q4 last year so we would expect to see pretty strong compares as we finish out the year.
Michael Florin: Thanks David. Leila, we'll take our next question, please.
Operator: Our next question comes from Alan Gould from Loop Capital. Please unmute yourself to ask a question.
Alan Gould: Thanks for taking the question. Hello Robert, hello Susan. Question on the Google transaction. Can you flesh -- or this renewal can you flesh this out a little bit? And remember at one point last year you talked about a nine-figure deal with the digital companies, I don't recall if that was just Google or others. And does this include generative AI in addition to using your using your journalism for other sources?
Robert Thomson: Look I can't comment on the financial details of the deal other than to say that this is a renewal of the existing deal. It has nothing to do with a payment for AI, Gen AI use of our content, servicing of that content, training of that content, or grounding of the content. So, any negotiations for that particular use of our content will come later.
Susan Panuccio: And Alan just from a financial perspective well we've never given a doubt specifically you can assume that it's broadly consistent with the financials of the previous deal.
Alan Gould: Okay. Thank you.
Robert Thomson: Thanks Alan. Operator, we'll take our next question, please.
Michael Florin: Thanks Alan. Leila, we'll take our next question, please.
Operator: Our next question comes from Craig Huber from Huber Research.
Craig Huber: Yes, hi. Can you hear me okay?
Robert Thomson: Yes Craig.
Craig Huber: Yes hi. Just I think everybody is really curious just about the progress that you're trying to make here to transform the company to simplify the company and stuff. And obviously we talked about this three months ago and six months when you talked about it privately -- I mean publicly I should say. And obviously you've done a lot of work on this before you made the announcement six months ago. I'm just kind of curious can you give investors at all any sort of timeline when you guys might wrap this up and stuff? I mean obviously things are pretty quiet out there for most of the investment banks and the legal folks after that work on this sort of stuff. So, I know it's very complicated what you guys are doing here, but what -- how much longer do you think we should have to wait with the next quarter or so? Or do you really have no idea?
Robert Thomson: Craig I'm sure that you and all on the call are sage enough to pass the phrases used in my earlier explanation and define the potential meaning. You can see that we're well advanced now thinking and planning and that planning has involved necessary regulatory steps and those were not simple steps to ensure that we have maximum flexibility genuine optionality. We want to continue to generate momentum and create maximum value for our shareholders. And we're certainly not complacent. Even though the share price has risen as of yesterday just over 46% in the past year we do recognize that there is a significant sum of the parts discount so stay tuned and not indefinitely.
Michael Florin: Thanks Craig. And Leila, we'll take our next question, please.
Operator: Our next question comes from Darren Leung from Macquarie. Please unmute your line.
Darren Leung: Hi guys. Thanks for the opportunity. Just a quick one for me. Looking at the BINGE subscribers in Foxtel, they're down sequentially quarter-on-quarter. So, the second time it has happened. But I'm just keen to understand a little bit about the drivers here and your response and thought process here please? Thank you.
Susan Panuccio: Darren I think when we think about it from the last quarter I think we talked about this there was the writers' strike towards the back end of last year and that obviously had an impact on the content that was flowing through there. So, that did have an impact on the subscribers and we're seeing a carry forward of that. I mean that's really what the impact is.
Michael Florin: Thanks Darren. Leila, we'll take our next question, please.
Operator: Our next question comes from Lucy Huang from UBS.
Lucy Huang: Thanks, Rob and Susan. My question is in relation to cost out. I guess right now the macro outlook still seems relatively uncertain particularly for advertising and similar way with like the US housing market. So just wondering if there's any script for some further cost reductions through the course of the next year if these conditions start to improve?
Susan Panuccio: I think Lucy you might remember we did --we sort of announced I think probably a year ago the 5% head count reduction. And I think we quoted a number of 160 million for the cost out. I mean it's great that we're actually -- we hit those numbers and exceeded those numbers actually. But the really good thing is that the businesses are actually always focused on costs. So whilst that was a particular exercise that we did across the whole group. Across all our businesses there are different transformation initiatives that they continue to work on as they look for efficiencies. So we feel pretty confident that we've got a good cadence in relation to that that can help offset any shortfalls in revenue. And that's why you've seen such good margin expansion in the year.
Michael Florin: Thank you, Lucy. Laila, we will take our next question, please
Operator: Our next question comes from Brian Han from Morningstar. Please unmute your line to ask your question.
Brian Han: Susan just on that cost out question. So it looks like some sort of cost reduction initiatives will be ongoing in the current fourth quarter. But how much of that do you think will be reinvested in realtor.com?
Susan Lee: We sort of we're trying to keep the balanced reinvestment within REALTOR itself. So I think I said in my prepared remarks we've got some benefit from the upside in the new rental agreements that we've done with Zillow and we've got some other cost savings that we're doing with realtor. So whilst there is an increase in cost we are trying to manage it there. I think when we sort of think more broadly about costs across the business and sort of to the earlier point that we talked to with Lucy -- we just constantly focus on looking for efficiency. So the UK, we've announced a pivot in the TalkTV strategy to streaming and that should unlock some savings which we'll really see come through in fiscal 2025. The UK team have also announced a joint venture with the Daily Mail Group in relation to joint printing that should unlock further savings. We know our Australian team are constantly iterating when it comes to savings. So we sort of we try and have to think about it broadly across the whole company but specifically in the divisions that we look for those cost savings.
Michael Florin:
.:
Operator: Our next question comes from Jamie Laskovski from Goldman Sachs.
Jamie Laskovski: Hi, guys. Thanks for the question. I was just wondering if you could elaborate on the underlying company structure changes that have happened so far that were called out and what we should expect over the medium-term growth? Thank you.
Robert Thomson: Jamie they were regulatory changes related to the original composition of the company in Australia. And really other than what I said earlier I'm not at the liberty to say -- say anything more at this moment.
Michael Florin: Thank you, Jamie. Laila, we will take our next question please/
Operator: At this time we have no further questions. I'll now hand back to you for closing remarks.
Michael Florin: Thank you, Laila. Thank you all for participating. Have a wonderful day and we will talk to you soon. Take care.